Operator: (Operator Instructions) Welcome to Hasbro’s First Quarter 2010 Earnings Conference Call. With us today from the company is Karen Warren, Senior Vice President of Investor Relations.
Karen Warren: Joining me today are Brian Goldner, President and Chief Executive Officer, David Hargreaves, Chief Operating Officer and Deb Thomas, Chief Financial Officer. To better understand our results, it would be helpful to have the press release and financial tables available that we issued earlier today. The press release includes information regarding non-GAAP financial measures discussed on today’s call and it is available on our website at Hasbro.com. We would also like to point out that on this call whenever we discuss earnings per share or EPS, we are referring to earnings per diluted share. During the call this morning, Brian will discuss key factors impacting our results and Deb will review the financials. We will then open the call to your questions. Before we begin, let me note that during this call and the question and answer session that follow, members of Hasbro management may make forward looking statements concerning management’s expectations, goals, objectives and similar matters. These forward looking statements may include comments concerning our product plans, anticipated product performance, business opportunities and strategies, financial goals and expectations for future financial performance in achieving our objectives. There are many factors that could cause actual results and experiences to differ materially from the anticipated results or other expectations expressed in these forward looking statements. Some of those factors are set forth in our annual report on Form 10-K, in today’s press release and in our other public disclosures. We undertake no obligation to update any forward looking statements made today to reflect events or circumstances occurring after the date of this call. Now I would like to introduce Brian Goldner.
Brian Goldner: The Hasbro team globally continued to execute our strategy well and we delivered a strong first quarter performance. Hasbro grew its business across all our major product categories including boys, games and puzzles, girls, and preschool. We grew revenues in the US and Canada segment and across all regions of the international segment, including Europe, Mexico and Latin America and Asia/Pacific. As we look at Hasbro’s mega brand performance; Littlest Pet Shop, Monopoly, Magic the Gathering, Nerf, and Playskool all grew in the quarter. In addition, Baby Alive, Play-doh, Tonka, FurReal Friends, and Super Soaker were all up versus a year ago. The Iron Man brand also contributed to the growth in our global boys business in the quarter. We are excited for the opening of Iron Man 2 scheduled for May 7th. In February, we shared with you that in order grow our business in 2010 we needed to deliver growth across our portfolio of brands. The first quarter is a good first step toward that end. The comparisons in the second quarter become more of a challenge as we anniversary the movie ship ins for both Transformers and G.I. Joe in 2009. Foreign currency trends have also become less of a tailwind than we initially anticipated for the year. Having said this, we continue to believe we should be able to grow revenues and earnings per share for the full year 2010, including the dilution from our television investments and absent a further deterioration in the value of foreign currencies, consumer spending, or global economic conditions. Next, we will execute our global strategy as we continue to transform Hasbro into a branded play company. Our entertainment initiatives remain on track. Transformers 3 is scheduled for release on July 1, 2011. Frances McDormand and John Malkovich have been added to the already great cast. Stretch Armstrong is slated for summer 2012 staring Taylor Lautner and its being filmed in 3-D. Battleship is planned for May 25, 2012 and will be production shortly. Taylor Kitsch, who stared in the television series Friday Night Lights, as well as in Marvel’s Wolverine, is our lead for Battleship. In support of our television initiatives, Hasbro studios continues to ramp up development and production in line with our plans. The team currently has 317 half hours of programming in development and production for distribution to The Hub network and international markets. We are delighted with the talent on board at the studio and all key roles are filled with the most recent addition being Finn Arnesen. Finn joins Hasbro Studios from Cartoon Network in Europe and will be Senior Vice President International Distribution and Development, charged with selling Hasbro Studios programming in all key markets around the world. The Hub, our joint venture children’s television network with Discovery Communications, will be launching on 10/10/10. Margaret Loesch and her team have been meeting with potential advertisers over the past several weeks and the reception has been very positive. The Hub will feature a number of day parts targeting preschool and kids during the day and in the evening will offer families an opportunity to enjoy television together. We will provide more details on Hasbro Studios productions and the launch of The Hub in the coming weeks. In 2010 we are driving strong innovation, creating immersive experiences and expanding internationally. As in every year, we are focused on delivering growth across our business while unlocking the potential of our brands geographically as well as across platforms. You’ve heard me say this before but it stands repeating. Not every brand should be supported by a motion picture but every Hasbro brand must be regularly re-imagined. This concept is central to our success this year and every year as we execute our strategy across our business. We have the tools in place to accomplish our long term objective of re-imagining, re-inventing, and re-igniting our brands, of creating immersive experiences and of growing our business in the emerging markets. With these tools and strong execution from the Hasbro team globally we believe we can grow our business in 2010 and in the years to come. With that I’ll turn the call over to Deb.
Deb Thomas: We are pleased with the strength of our first quarter results which reflect momentum we carried forward into 2010 and an improved consumer and retail environment versus the first quarter 2009. Our business grew in all major geographies and product categories. For the first quarter 2010 worldwide net revenues of $672.4 million grew 8% compared to $621.3 million last year. Excluding the $20.4 million positive impact of foreign exchange, revenues were up 5% for 2009. Operating profit increased 68% to $69.3 million versus $41.2 million a year ago. Looking at our segments in the first quarter 2010 the US and Canada segment net revenues were $424.7 million an increase of 5% compared with $404.5 million last year. The segment benefited from growth in the preschool, girls, and games and puzzles categories. US and Canada operating profit for the quarter was $61.1 million or 14.4% of revenues, compared to $41.6 million or 10.3% of revenues last year. The year over year improvement is primarily due to increased volume, lower amortization and royalty expenses, as well as continued improved leverage and product development, advertising, and SD&A costs. Net revenues in the international segment increased 17% to $221.7 million compared to $189.2 million a year ago. Absent a positive foreign exchange impact of $16.3 million, net revenues grew 9%. The segment experienced growth in major product category and grew in all regions. The international segment reported an operating loss of $2.4 million compared to an operating loss of $14.5 million last year. The year over year improvement was the result of the mix of products sold, lower amortization expense and leverage in operating expenses. The entertainment and licensing segment net revenues were $25.1 million compared to $27.2 million a year ago a decrease of 8%. This is primarily due to lower revenues in digital gaming. The entertainment and licensing segment reported operating profit of $9.4 million compared to $13.6 million last year, reflecting the reduction in revenues as well as costs for Hasbro Studios which we did not have in the prior year. Now let’s look at earnings. For the quarter, we reported net earnings of $58.9 million of $0.40 per diluted share compared to $19.7 million or $0.14 per diluted share a year ago. Net earnings for the first quarter 2010 include a favorable tax adjustment of $21.2 million or $0.14 per diluted share. This relates to previously unrecognized tax benefits and other adjustments resulting from the completion of a tax audit. Excluding this favorable adjustment, net earnings for the quarter were $37.7 million or $0.26 per diluted share. Additionally, the first quarter 2010 includes a -$0.04 per share impact from our television investments. Earnings before interest, taxes, depreciation, and amortization were $100.3 million compared to $73.4 million a year ago. Cost of sales in the quarter was $262.7 million or 39.1% of revenues versus $244.8 million or 39.4% of revenues in 2009. In today’s earnings press release we’ve changed the presentation of our statement of operations. Hasbro’s business continues to evolve as we move forward with revenues and expenses related to our entertainment efforts in both television and movies. As a result, we will now publish our financials similar to many other companies and no longer include a gross profit line on our P&L. The remainder of the P&L is unchanged and cost of sales will continue to be available to you for your calculations. Moving to expenses, operating margin improved to 10.3% from 6.6% last year primarily due to lower royalties and amortization as well as improved leverage in major expense areas including product development and SD&A. In the quarter we continued investing in our business including our television initiative, growing our presence in emerging markets, as well as marketing and advertising our products. Below the operating profit line, interest expense increased by $7.1 million to $16.8 million due to the debt offering completed in 2009 related to our joint venture with Discovery as well as the offering we completed in the first quarter 2010. Other income net totaled $1.7 million compared to an expense of $2.9 million a year ago. The first quarter 2010 includes income of $500,000 representing our 50% share of the earnings in the joint venture with Discovery. Excluding the favorable tax adjustment in the first quarter 2010 our underlying tax rate was 29% essentially flat with last year’s underlying tax rate of 29.1%. Now let’s turn to the balance sheet. At quarter end cash totaled $1.3 billion compared to $590.4 million a year ago. Operating cash flow in the first quarter was $265.1 million. In the last 12 months we raised $925 million through two debt offerings. We also made significant investments in our business including spending $300 million for our 50% investment in the joint venture with Discovery, $45 million to extend our agreement with Lucas and $25 million in royalty advances to the joint venture network. Additionally, in the first quarter we announced a 25% increase in our quarterly dividend to $0.25 per common share, an increase of $0.05 per share per quarter. In the first quarter we also repurchased 2.8 million shares of common stock at a total cost of $97.7 million at an average share price of $35.35 per share. As we announced today, the Board has authorized an additional $625 million for use in our common stock buyback program. On March 29th we called our outstanding 2 3/4% convertible debt. As a result of calling this debt, we reclassified the convertible debt from long term to current. During the first quarter, holders converted $111.2 million of the diventures into 5.1 million shares of stock and we anticipate the remaining $138.7 million of diventures will be converted into 6.4 million shares in the second quarter. The proceeds of our first quarter $500 million debt offering are primarily going to repurchase and retire into treasury an equivalent number of shares resulting from the conversion of these diventures. As a result of our decision to redeem these bonds, we’re not able to be in the market repurchasing share until after the redemption is complete. Following the redemption and subject to market conditions we plan to continue to repurchase and retire shares. The quality of our receivables portfolio remains good and receivables at quarter end were $526 million up $161 million from $365 million last year. In the first quarter 2010 we did not utilize our securitization facility. However, in the first quarter 2009 we securitized $100 million of receivables. As we mentioned during our year end earnings conference call, given the changing environment in government regulations impacting the securitization market, it’s likely we will not securitize receivables as actively in the future. Absent the impact of securitization in 2009 DSOs increased three days to 70 days due primarily to higher sales in markets that have longer terms. Inventories were $226.8 million in the quarter compared to $295.2 million a year ago. In closing, we began 2010 in a strong financial position. We will continue to closely manage our costs while making strategic investments in our business. As we go forward in 2010 we believe currency will be less of a tailwind than we originally anticipated but given the strength of our business, as Brian stated, we continue to believe we should be able to grow revenues and earnings per share for the full year 2010, including the dilution from our television investments and absent a further deterioration and the value of foreign currencies, consumer spending, or global economic conditions. That concludes our prepared remarks. Brian, David and I are happy to take your questions.
Operator: (Operator Instructions) Your first question comes from Sean McGowan – Needham & Co.
Sean McGowan – Needham & Co.:  The royalties, why do you think the percentage was down versus last year so much?
Brian Goldner: We have less entertainment related to motion pictures where we’re paying royalty on Transformers or G.I. Joe.
Sean McGowan – Needham & Co.: But you would have had Iron Man in the quarter, right?
Brian Goldner: Yes, but not the same there as well you would pay a royalty on other licensed properties.
David Hargreaves: If you remember last year we said in the first quarter that we had been settling some royalty audit issues that we had regarding the Lucas license which went back a number of years. I think we said at that time there was a relatively small charge related to settling royalty audits at that time.
Brian Goldner: We extended our rights with Lucas for two more years as well.
Sean McGowan – Needham & Co.: Just to clarify the guidance, looking for Op EPS that does not include the $0.14 tax adjustment is that right?
Brian Goldner: That’s correct.
Sean McGowan – Needham & Co.: I wanted to dig a little deeper on the accounts receivable this is basically just because of lack of securitization?
Deb Thomas: That’s a large portion of it. Last year we had securitized $100 million and this year we did not securitize anything in the quarter.
Sean McGowan – Needham & Co.: Were there any other factors that contributed to the increase in relationship to sales?
Deb Thomas: Just the increased revenue as well, in addition, from a DSO standpoint, as we were gaining higher revenues from our newer operations and geographies like Brazil they have somewhat longer terms than other geographies.
Sean McGowan – Needham & Co.: Is your expectation for the impact of all the cable activities that you would still expect the full year to be I think you were saying like $0.25 negative impact for the year?
Brian Goldner: We had a range that was a range of $0.25 to $0.30 in the year.
Sean McGowan – Needham & Co.: That’s unchanged?
Brian Goldner: That’s unchanged.
Sean McGowan – Needham & Co.: I want to make sure I understand this. The $500,000 other income in the quarter, that suggests that The Hub is profitable, that’s a little surprising to me just because The Hub itself is incurring some expense. I know that a lot of the expenses that are on Hasbro’s P&L but is that something that we should expect each quarter?
David Hargreaves: When we made the investment we said that the channel itself, Discovery Kids was profitable, Discovery Kids today and is still profitable. I think what we said this year is that the biggest expenses which will be incurred relate to re-branding and re-launching, there will be a lot of marketing expenditure going on really probably during the starting towards the end of the second and going through the third and fourth quarters. That will really ramp up and whilst Discovery Kids has always been profitable, it was profitable in the first quarter, we anticipate it will be profitable going forward in the third and fourth quarters this year in particular, it may not be because re-launch and re-branding expenditure.
Sean McGowan – Needham & Co.: I just thought maybe some additional staff or something that would have eaten up the profitability in the first quarter. My last question is simply if you could try to give us some color on just how tough a comparison the second quarter is and what we ought to be looking for there?
Brian Goldner: A year ago obviously we had two major motion pictures we were gearing up for in Transformers and G.I. Joe. We are obviously gearing up for, have already begun shipping Iron Man in the first quarter. Very excited about Iron Man, all the indications are very positive. Again, we have a number of Hasbro’s brands are owned and operated brands that are performing very well across the portfolio from Nerf to FurReal, and in our girls business and preschool business. Not dependent on entertainment as we said, we were going to have and create immersive experiences across a number of our own brands and those are being born out. We just want to make sure we remembered collectively that second quarter would be our toughest comps for the year.
Operator: Your next question comes from Greg Badishkanian – Citigroup
Greg Badishkanian – Citigroup: Can you give us a little bit of color on inventory levels and how the buyers are thinking about maybe increasing those over the next few quarters, did they go too low or they pretty okay with those levels right now?
Brian Goldner: If you look at point of sale through the first quarter and year to date our POS increases are in line with the increase we’re seeing in our business. Again, I would say that we’re continuing to drive innovative product, the consumer take away is very positive and our shipments are consistent with that.
Greg Badishkanian – Citigroup: Maybe talk a little bit on the cost environment, particularly on the gross margin line and just with some of the headwinds in the second half of the year, how you’re managing through those and how you think the impact will be and maybe also just if you expect to see some pricing passed on to the retailers?
David Hargreaves: Clearly when we spoke at our analyst meeting in November and again in February we clearly said we expected most costs to be trending up. At this stage does it look like they could trend up a little bit more than we anticipated? Certainly on paper and board at the moment partly because of the Chilean capacity situation. We have seen a pretty significant spike in paperboard costs. At this stage I wouldn’t say that resins or electric components or Chinese labor is materially different to what we expected. I think we’ve said many times before that we are to some extent isolated from rising commodity costs because just about everything we buy out of the orient comes from third party vendors, we don’t have our own facilities. The way we get our vendors to quote a price is they competitively bid amongst our people but once they’ve won the business or won a product line essentially they have to live with that price. Clearly in truly exceptional circumstances like the fourth quarter ’07 and into early ’08 when commodities went up very dramatically we had to go back and revisit that. In general, the first increases in commodity costs at any given year will be absorbed by our vendors. Indeed we’re working very hard to help them be more profitable businesses growing, we’re giving them more work, and we’re level loading them. They can absorb a bit of this without losing money on our business.
Operator: Your next question comes from Tony Gikas – Piper Jaffray
Tony Gikas – Piper Jaffray: Could you talk a little bit about the inventory levels on an international basis, international revenues were very strong in the quarter; some of your competition has been talking about the same? Are they taking more product than they are domestically as a follow up on the last question? Second, could you maybe talk a little bit about trends of ad revenues and what you’re seeing and your thoughts for The Hub once that gets launched? Third, on the digital gaming piece the current video game cycle peaked back in 2008, what are your thoughts on the trends for this year and has Electronic Arts changed the lineup at all? I know they have cut their sku plan in half for this next year relative to two years ago, so over a two year period they’ve cut their sku plan in half. Have you been affected by that at all?
David Hargreaves: I’ll take the first question with regards inventories internationally. I think probably a lot of international retailers had actually more aggressive goals in cutting inventory last year than did the US. I think they probably started with a bit less and therefore as economies start to recovery I do get a sense that international retailers in particular are willing to open the spigot a little bit and to take a bit more in. That doesn’t mean it’s a material change but it seems to be a bit of a change. The other reason why our international revenues grew a bit more is we clearly did get a little bit of help from FX and of course we had this pretty aggressive investment we’re making in emerging markets. We would expect to see higher growth rates international because of the investments we’re making in companies like Brazil and Peru and Czech Republic and China.
Brian Goldner: On the question about advertising revenue, the feedback thus far from consumers at large as well as advertising agencies and potential advertising clients to The Hub network has all been very positive and they see a great opportunity in the marketplace, a great gap in the marketplace for a network that focuses on kids and their families. Margaret is out meeting with potential advertisers, we will make more formal announcements about our lineup and programming and schedule in the next four to five weeks and then we’ll be able to come back to you with what our schedule looks like, she’s going to lead that process. Again, the feedback has been very positive overall. I would sense both from our own plans as well as our sense in the market is that people do want to advertise and market their products that consumers are very brand centric, would like to purchase brands and innovative products and brands like Hasbro’s brands are being met with great reception in the marketplace. On the third question, on digital gaming, I think what you’re seeing overall is a shifting out year on year in our business and overall where you may have a bit less in console gaming but you’re getting more in online gaming, on mobile gaming, on iPhones and now the iPad. The absolute dollars or the ticket is changing. Console game is one price point and online game or and iPhone app is a different price point so you’re selling more items at a different price point. It’s really heartening to see that brands like Family Game Night was named as a favorite game for families, as number one game for families during the Xbox Live Arcade awards. As you look at Xbox Live Arcade if you look at Scrabble on the iPad it’s one of the top apps already on the iPad. It’s a matter of activating brands across a number of different platforms of providing those immersive experiences and I think you’re seeing that overall shift in the marketplace where there’s a combination of console game sales this year for our products like Transformers has a new product coming out called Transformers: War for Cybertron in June which is from Activision in a non-movie year it’s a great game and great expectations there. Also a lot more in online, a lot more in mobile and iPhone and those games don’t carry the same purchase price as do console games.
Tony Gikas – Piper Jaffray: Has the sku plan changed at all with EA?
Brian Goldner: The sku plan has been pretty aggressive. In fact we continue to see aggressive plans from EA, our brands performed exceedingly well in the casual gaming space and across platforms so I would say their focus continues to be on Hasbro brands as a killer app in the casual gaming space.
Operator: Your next question comes from Gerrick Johnson – BMO Capital Markets
Gerrick Johnson – BMO Capital Markets: Perhaps you can discuss a little bit the components of gross margin. You talked a little bit about inputs but also sales average, price increases, mix, how all those played out in the quarter.
Deb Thomas: I think David touched on the cost components a little bit so I think we’ve talked about this. Really as we look at that we’ve continued to say that from a foreign currency standpoint we hedge foreign currencies with respect to our inventory product purchases so we continue to have the benefit of that program in having laid that out over multiple year strategy. With respect to mix, we saw some very good growth in the quarter in our core brands and in particular those brands are profitable and contributed a great deal in volume and much of that passed through. The other thing that’s not really in the cost category but we benefited from in the quarter and we’ve told people is that our amortization expense is continuing to decline as our Wizards of the Coast amortizations is starting to roll off in the quarter.
Gerrick Johnson – BMO Capital Markets: With relatively flat gross margins year over year what might have been holding you back on the gross margin side a little bit?
Deb Thomas: From a mix standpoint we’ve managed to continue to hold our costs and as a percentage of revenue we’ve had more revenue flowing through to the bottom line. I’m not quite sure what the question is. We tend to see a little bit more of the impact on the royalty line and you can see that increase on lower royalties this year.
Gerrick Johnson – BMO Capital Markets: On your sales growth in international, perhaps you can give us some information as how much of that growth came from these new geographies that you’ve opened up in the last couple years?
David Hargreaves: I think clearly we have higher rates of growth in these emerging geographies but from a fairly low base. Of our total growth I’m not sure I have the number in front of me. I think probably still most of it still came from the larger Western European, Australia, and New Zealand mature markets.
Gerrick Johnson – BMO Capital Markets: On preschool, what’s driving your growth there, I guess you don’t have the Rose Petal Cottage anymore so pretty good growth in preschool, what’s driving that?
David Goldner: It’s in our Playskool business; it’s in our Play-doh business and the Tonka Preschool business, across a number of different product categories.
Operator: Your next question comes from Drew Crum – Stifel Nicolaus
Drew Crum – Stifel Nicolaus: Two consecutive quarters of revenue growth for games and puzzles can you talk about the retail inventories going into the quarter and how you’re going about shelf space?
David Goldner: We feel very good about innovation in the products and retail take away. The promotion around Family Game Night has been extremely effective and that continues, in fact now is a full year program for 2010, a number of countries around the world executing a version of Family Game Night. We see a lot of new innovations coming not only early in the year but throughout the year in our games business both in our global core brands like Monopoly as well as a number of other Challenger brands through the games business. Feel very good about what we’re seeing there, our retail support and the consumer take away.
Drew Crum – Stifel Nicolaus: Shifting gears to the Discovery dilution, I think you said it was $0.04 in the quarter. Can you talk about or break down what the components of that were and as you look out through the balance of the year are we likely to see something similar as you trend towards the re-launch of the network?
Deb Thomas: Actually you are correct; it was $0.04 in the quarter. Really the majority of it in this quarter is really arising from the interest expense and the debt we incurred in connection with it. As we trend out to the latter part of the year we also have some impact with the hires we’ve made but as David mentioned earlier as we get closer to the launch those costs will become the re-branding and the re-launching of the network those costs will become a much greater component of the dilution.
Drew Crum – Stifel Nicolaus: Remind me again, that’s reported as cost of sales?
Deb Thomas: No, to the extent that those costs are incurred by the network itself that’ll be in other income and expense and to the extent that we incur them they’ll be throughout the P&L.
Drew Crum – Stifel Nicolaus: I also wanted to ask about the performance of the international subsidiaries you guys opened back in 2008. Are those contributing to profits yet or is the expectation that they will be profitable by 2010?
David Hargreaves: I think it’s a bit mixed. There are certainly some markets in Eastern Europe but we’re making pretty good operating margins on. Some of the bigger markets where we’re having to invest and we’re spending very high AQS rates at moment trying and build market share. Certainly Brazil and China we’re much closer to break even at the moment, maybe losing a little bit in Brazil but we do anticipate that certainly by 2012 these markets will start to show positive operating margin, at the corporate wide average.
Drew Crum – Stifel Nicolaus: What was the CapEx in the quarter?
David Hargreaves: $20 million
Brian Goldner: One more thing I should mention as I look at the array of games that are selling well I think the Wizards of the Coast folks certainly deserve a shout out for their effort and really Magic the Gathering is performing exceedingly well both as the analog paper based game as well as online.
Operator: Your next question comes from Tim Conder – Wells Fargo
Tim Conder – Wells Fargo: Can you give us a little more color on the level of Iron Man 2 shipments in the quarter and how much of that went against Transformers in the quarter a year ago? Obviously Iron Man’s not, as you’ve already alluded to is not going to offset the comparable Transformers and G.I. Joe comp in the second quarter but just maybe a little color on the comparables there?
Brian Goldner: The boys business grew 3% globally and really we’re heartened to see certainly Iron Man contributed as we indicated. As you see brands like Nerf that are growing dramatically, domestically, as well as in international market, as we’ve done a lot of work around consumer insights as we understand the universal truths about Nerf. There’s a brand that’s really contributing to our boys business that is our owned and operated brand, high operating profit margins and as we grow those businesses, as we indicated, those are the kinds of businesses that allow us to amortize our expenses in R&D and marketing and drive the kinds of operating returns that we’re seeing in the quarter. Though really while Iron Man contributed in the quarter we’re also seeing our owned and operated Nerf business, Tonka business and other boys businesses contributing as well.
Tim Conder – Wells Fargo: Clearly the broad portfolio contribution was very notable. As it relates to your comments regarding second quarter being a tough quarter which I think everybody realizes that. How would you put that in context and I think David you’d even alluded on the fourth quarter call or at one of the analyst presentations about the first half of the year especially may not be up or would be kind of challenging. Do you expect the first half of the year to be up in general in revenues and EPS in the context of your full year guidance?
Brian Goldner: I think that we performed very well in the first quarter and have certainly performed at the high end of our sense of range of what we wanted to achieve in the first quarter, we certainly came out with the kind of momentum. I’m not going to comment on first half performance overall but certainly with the POS gains that we’ve had in the first quarter with the revenue results, with the operating profit results you’ve seen in the first quarter our reiterating our broad guidance for the year is easier to do. I think that we again we would reiterate our guidance for the year that we believe we’ll grow revenues and EPS baring any further deteriorations in certain key indices. Overall I think it’s easier for us to say that today than it was 90 days ago.
Tim Conder – Wells Fargo: What would you anticipate the ongoing effective tax rate to be here and then any color on CapEx for the full year?
Deb Thomas: I think we’d expect the underlying tax rate to be similar to what we talked about in February at 29% on the full year, similar to last year. With respect to CapEx I think we said at that time too we expect it to be around $100 million for the full year.
Tim Conder – Wells Fargo: Are you saying, just to clarify the POS internationally in the first quarter it was continuing to go well it sounded like but your shipments are growing a little bit faster than POS because of maybe they’ve taken their inventories down a little too excessively in ’09?
Brian Goldner: We’re seeing different rates of increases. Certainly in the emerging markets are the highest percentage gains followed by more Eastern European then mature markets. In terms of inventories...
David Hargreaves: I would say our POS during the first quarter in most international markets exceeded the growth of shipping. I think a comment about retailers being a bit less inventory adverse is more of a general comment which probably bodes quite well for the balance of the year. The perception is with the economic recovery is more real and I think retailers and people that control the inventory are loosening up a bit. I don’t think, in fact I know certainly in most markets our POS growth exceeded our shipping growth.
Brian Goldner: I think the other trend that’s out there given still coming out this recessionary environment is that consumers really have continued to gravitate even more toward brands. As Hasbro’s been able to offer innovation in its brands and continue to offer great products and innovative products that are at a value price point we’ve been a beneficiary of consumers interest, given they have limited or more limited discretionary dollars over the last bit of time and coming out of that they certainly would prefer to be buying branded products, products they know, products that provide great play experiences and then the willingness to go with us across a number of platforms and pay for those immersive experiences. That’s all part of what we are seeing at retail and from retailers.
Tim Conder – Wells Fargo: To what you’re saying, even versus other branded consumer staples it appears that yourselves and maybe some of your other competitors have a better position because your products aren’t as spongeable as some as some other people’s products.
Brian Goldner: I think for young people and their families they understand our games, they understand our toy brands, they are enjoying those, they have shared those for generations. We continue to put innovation and re-imagining those products and so in this environment we’re offering consumers the opportunity to participate in immersive play and we’re providing those immersive play experiences and the consumer is benefiting from the innovation and at a value oriented price.
Deb Thomas: Before we move on I just wanted to correct one thing. We looked at our estimates for CapEx this year and I think we’re going to be closer to $120 million than $100 million this year.
Operator: Your next question comes from Hayley Wolff - Rochdale Securities
Hayley Wolff - Rochdale Securities: On the boys toys, how much of the reduction in royalties might be attributable to any kind of weakness in Star Wars? Second, can you give us an update maybe on the Transformers, your expectation for Transformers year two, vis-à-vis the 2007-2008 periods?
Brian Goldner: I think that David touched on earlier; Star Wars royalties were really down mostly because of a payment we made a year ago to extend our rights for two more years. We’re seeing good sell through on Star Wars, we continue to see good sell through on Transformers. Clearly Transformers is coming off a movie year so it won’t perform like it did a year ago. Overall as you can see the combination of motion picture related properties later this fall, some of those properties are going to be beneficiaries of television support certainly the Marvel properties, Star Wars properties in the third quarter, the third season of Clone Wars kicks in. Marvel properties supported by television as will Transformers be supported by television. It’s a good combination and then of course brands like Nerf are performing very well domestically and globally. Again, it’s more related to the royalties paid year ago related to the extension of our rights and cleaning up an audit.
Hayley Wolff - Rochdale Securities: Based on what you’re seeing now is there any reason to think you’ll see a more precipitous drop in Transformers this year versus what you saw ’08 versus ’07?
Brian Goldner: Yes, I think it’s early yet to say. The overall POS is very positive so I can’t really say. For the full year I think we’ll get into the second, third quarter plans, the team has a lot of really significant marketing plans baked in for the second half of the year. They have a very focused effort and a new promotional campaign around the Hunt for the Decepticons which is a third and fourth quarter initiative. We’ll wait and see.
Hayley Wolff - Rochdale Securities: Switching gears to The Hub, can you give us any sort of anecdotal information on how advertiser are responding to it, what kind of hurdles you’re facing in having these discussions for ad dollars is there any reluctance because of it’s newness or conversely are they looking at it as a fresh new opportunity?
Brian Goldner: I would say it’s more the latter. It is a fresh opportunity, I think that people are beginning to understand what we’ve been saying all along which is that we really are open for business, that Hasbro branded content will only make up one of four inputs to the overall schedule. There are other third party content providers that are creating content, there’s new content that’s being created, there’s some Discovery livery that’s there. Then of course Hasbro branded content, the fact is we are very much open for business and historically being an advertiser we understand what advertisers are looking for in terms of promotional opportunities and marketing opportunities. The Hub stands apart from a lot of the other kids networks because we really are going to celebrate what kids and what kids and families are looking for in terms of entertainment and both consumers as well as advertisers are seeing that as unique in the marketplace, certainly something worth supporting.
Hayley Wolff - Rochdale Securities: Is there any hesitance that you’re seeing any issues that you have to overcome?
Brian Goldner: It’s not unlike the conversations we’ve been having with analysts and shareholders. At first people were a bit confused maybe as to why Hasbro went and did certain things and I think we’ve made that abundantly clear as to why we went forward in a joint venture with tremendous partners at Discovery. Similarly it takes a little while to explain to people how we’re going to be launching The Hub and what The Hub will represent vis-à-vis other networks out there. But just as there are dozens of successful networks focused on the 18 to 49 year old adult demo or the 25 to 54 adult demo, advertisers and consumers are seeing an opportunity for another network to be successful in the marketplace for kids and for families.
Hayley Wolff - Rochdale Securities: On the dilution, the $0.04 dilution was largely related to interest expense in the quarter. So $0.16 of the annual dilution is interest expense the remaining $0.09 to $0.14 is that mostly third quarter, what piece of that comes in second quarter and then fourth quarter do we then expect could it be profitable?
Brian Goldner: We’ve talked about overall the dilution coming in the third and fourth quarters and being more significant as we re-launch and re-brand the channel to be The Hub network. I’m not going to go beyond that. I think Margaret, in the next several weeks will be outlining the schedule and more of a promotional plan and then I think that will become clear. We have said that the network launches on 10/10/10 and so that should give you some sense for our plans and for the timing of our expenditures. 
Operator: Your next question comes from John Taylor – Arcadia
John Taylor – Arcadia : I wonder if you could deconstruct the other asset line, the $290 million increase there. I guess I’m looking for capitalized program development costs and stuff and what might be moving in that line?
Deb Thomas: The biggest movement in that line is really related to our investment in the joint venture with Discovery. That hit after the first quarter of last year. While we’re starting to ramp up with programming costs its not significant at this point. However, we’ve said that that expenditure could get up to $80 million over time as we develop it. That’ll start to get amortized as the programs begin to air.
John Taylor – Arcadia : It doesn’t feel material right now yet?
Deb Thomas: No, it’s not material.
John Taylor – Arcadia : I wonder if you could talk a little bit about the timing of royalty payments and so on. You had no doubt some people sort of sending some checks in late and so on. Was that any kind of an impact on the quarter?
Deb Thomas: No, not really.
John Taylor – Arcadia : In terms of the revenue growth, 12 months ago everybody was panic city and retailers were expecting double digit declines and all kinds of amazing things. How much of the revenue growth this year do you think you might characterize as sort of a re-load as opposed to better than expected demand due to momentum developed during last year, if there’s a way to do that.
Brian Goldner: The big point, the broad point that I would make is that certainly through the quarter our POS was closer to double digit growth because of a slightly earlier Easter so actually that’s one week earlier Easter really drove a lot of those POS increases. If we look year to date our POS is still mid single digits increase if you look at the flip between the two. Our shipments are not inconsistent with that, in fact fairly consistent. Probably POS leading slightly especially in international markets to our ship ins.
David Hargreaves: I think coming into this year 2010 after 2009 where we did $600 million thereabouts in Transformers and another $100 plus million in Joe people were very concerned about the delta that we had to make up. We actually I think surprised people when we said we thought we would grow revenues again this year. At that time we said there’d be lots of singles and doubles and a lot of things contributing to that. Part of that was the strength of our brands, not just Transformers and Joe but its strength of our brands across a wide range and amount of newness we had. Part of that was we were at that time anticipating a little bit of a tailwind from currency and we certainly got that in the first quarter, if we’re going to get that for the full year, we’re not sure at this stage. Part of that was we did see some overall improvement in the economy. I think we do have a delta that everyone knew we did on Transformers and Joe and part of how you overcome that and grow our business again this year is the strength of our product line, part of it is an improving economy.
Operator: Your next question comes from Robert Carroll – UBS
Robert Carroll – UBS: Bigger picture, as the core brands continue to expand with the addition of Nerf into the mega brand category, do we potentially see that advertising and royalty expense on a combined basis grow to beyond that 18% to 19% of revenues?
Brian Goldner: I think over time you probably see a mix out that would have it probably go down as a percent just slightly in terms of advertising. As you probably grow via television and television programming a bit more, so overall I would not say that those two numbers together would be going up appreciably but probably relatively constant in the in years and then down slightly in the out years.
Robert Carroll – UBS: Do a leverage of The Hub relationship?
Brian Goldner: The Hub is the domestic distribution outlet but as we take our programming and distribute it internationally you would then see programming around our brands hitting markets around the world as we’ve done historically for brands like Transformers so that does enable you to get the leverage off of your R&D and marketing. That’s not unlike years where we have movie years or where our partners like Lucas have new TV series you’re able to use the marketing from the television and from the promotions to offset a bit of your own A to S ratio.
Operator: Your last question comes from Jeff Blaeser – Morgan Joseph
Jeff Blaeser – Morgan Joseph: Could you talk a little bit about Nerf, domestic/international splits and growth in the first quarter?
Brian Goldner: In fact, Nerf has grown appreciably but both domestically as well as internationally. We are seeing and have done a lot of work around Nerf to ensure that the insight is around the product line, the permission to play and to have fun with Nerf is now in honed to be a global initiative. We are seeing the uptake in Nerf globally albeit the US business obviously is several times bigger than the international business. As a proportion it doesn’t match our historical splits of international to domestic it’s more domestically oriented still today and the growth is from both sides. I don’t think we’re going to break it out further.
Jeff Blaeser – Morgan Joseph: Long term view any reason that you could see that split not potentially hitting historically average of the company?
Brian Goldner: No, in fact I would say that it should, I think it’s just a matter continuing to invent and innovate in the brand which we’re doing. The major segments of the brand, the N-Strike as well as the N-Force are performing very well in the first quarter. We’re seeing a lot of excitement; this is a great example of a brand that’s benefiting from a different kind of immersive experience we’ve created. There are 45,000 videos being created by our users that are online today on YouTube, they’re creating their own virtual Nerf network online. That’s all part of the fun of playing Nerf as people like to make videos around their exploits. The promotions are working as well as a lot of the new products. The team’s done a tremendous job, we’ve elevated Nerf to be a mega brand over the past fall and we’re seeing the up tick globally.
Jeff Blaeser – Morgan Joseph: Going back to Transformers/G.I. Joe I think in the past you’ve given a general blueprint as to revenue streams first half, second half. If you could remind us what that is, I think it was like a significant portion are still in the holiday period if that’s correct.
Brian Goldner: Yes, a significant portion would be in the holiday period for both brands even though they were motion pictures in the second quarter. The second quarter really was the movie ship in timing but still third and fourth quarter are much bigger as a proportion of total sales.
Operator: At this time I would like to turn the call back over to Ms. Warren for any additional or closing remarks.
Karen Warren: I’d like to thank everyone for joining the call today. The replay of our call will be available on our website in approximately two hours.